Sarah: Good afternoon. My name is Sarah, and I will be your conference operator today. At this time, I would like to welcome everyone to the Coinbase Global, Inc. fourth quarter and full year 2024 earnings call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. Anil Gupta, Vice President, Investor Relations, you may begin your conference.
Anil Gupta: Thank you. Good afternoon, and welcome to the Coinbase Global, Inc. fourth quarter and full year 2024 earnings call. Joining me on today's call are Brian Armstrong, cofounder and CEO; Emilie Choi, president and COO; Alesia Haas, CFO; and Paul Grewal, chief legal officer. I hope you have all had the opportunity to read our shareholder letter, which was published on our investor relations website earlier today. Before we get started, I would like to remind you that during today's call, we may make forward-looking statements, which may vary materially from actual results. Information concerning risks, uncertainties, and other factors that could cause these results to differ is included in our SEC filings. Our discussion today will also include certain non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are provided in the shareholder letter on our investor relations website. Non-GAAP financial measures should be considered in addition to, not as a substitute for, GAAP measures. We are once again using Say to enable our shareholders to ask questions. In addition, we will take live questions from our research analysts. With that, I will turn it over to Brian for opening comments.
Brian Armstrong: Alright. Thanks, Anil. Crypto's voice was heard loud and clear in this recent US election. It's the dawn of a new era for crypto. President Trump is moving fast to fulfill his promise of making the US the crypto capital of the planet. And the most pro-crypto congress we have ever seen is now leading the charge on stablecoin and market structure legislation. Given the US's leadership here, the rest of the world is taking notice and will be under pressure to embrace crypto adoption. So it's hard to overstate the significance of this change that's happened in the last few months. We have a number of new opportunities in front of us now to go build in 2025. Let's talk about our financial performance in 2024, though, just to get started here. And it's incredible. I mean, Coinbase Global, Inc. had an amazing 2024. I am very, very optimistic about the next few years. In 2024, our total revenue more than doubled to $6.6 billion, with $3.3 billion in adjusted EBITDA, making two straight years of positive adjusted EBITDA. By the way, if you look back, five of the last six years, we had positive adjusted EBITDA now. So we are completing this transition to being an all-weather company that can show positive adjusted EBITDA. Our subscription services revenue had an outstanding 64% year-over-year increase to $2.3 billion, driven by USDC, staking, and Coinbase One. Our international revenue share reached 19% in Q4, and this is due to improved payment rails and localization. We have got a repeatable playbook now that we can launch in these new markets and get them to contribution positive, and so we are going to keep doing that in more markets. And finally, we are just so well positioned to capitalize on these new regulatory tailwinds. It's been incredibly validating of this long-term strategy we have taken at Coinbase Global, Inc., to be the most trusted and compliant, and it's finally paying off.
Brian Armstrong: Alright. So let's talk for a minute about how crypto is now going mainstream, the regulatory environment. There's clarity on the horizon. Every time you think about that, you should think that this is really TAM expansion for Coinbase Global, Inc. Coinbase Global, Inc. is going to be the platform that's going to power many of these companies that are coming in and trying to integrate crypto. And we like to say that on-chain is the new online. It's a little bit like the early 2000s when every company had to figure out how to adapt to the Internet. Up to 10% of global GDP could be running on crypto rails by the end of this decade. Coinbase Global, Inc. is going to be the preferred partner to come in and build this for many of the companies out there because we have the most trusted and scalable infrastructure with the longest track record. Let's talk a little bit about our priorities in 2025. So 2025 is going to be about growing revenue with our existing products, driving utility in these new categories where crypto is getting to scale, and building the foundations to power this next decade of growth. So first, we are going to be driving more revenue in our core businesses. Let's deep dive into that. Trading is often where we start with here. That's the earliest thing that we got into in crypto with Coinbase Global, Inc. And we are going to continue to expand on that leadership position. So we will be delivering best-in-class derivatives trading as part of our global offering. We are going to be accelerating asset addition as clarity emerges there, winning more and more advanced traders on our platform, and I am really proud to share actually that we reached an all-time high for both US spot and global derivatives market share in Q4. Incredible outcome, due to the hard work of the team. So 2025 is looking very good. It's off to a very good start here. We also have a stretch goal to make USDC the number one dollar stablecoin. We are very bullish on stablecoins. We think USDC has a network effect behind it. And the compliant approach that they have taken is, I think, going to be really defensible long term. So we will be accelerating the market cap growth of USDC with more partnerships and leaning into new use cases like adding payments support across our product suite. We will be accelerating our international expansion by replicating that successful playbook that I mentioned in these new high-growth markets and growing subscription services revenue by going on offense with in-store and retail staking, growing our assets under custody for our custody business. I expect it will be a banner year for Coinbase One as well, especially in our international markets. So that's our first prong of growing revenue with our existing products. Next, we really want to drive utility to get this next wave of mass adoption going for crypto. We think crypto is much, much more than just an asset class that people want to trade. There are going to be daily use cases for everybody in the world as crypto updates the global financial system. And one of those big categories is payments. You know, we are already at scale, I would say, on stablecoin payments. There was $30 trillion of crypto stablecoin volume last year. That was up 3x year-over-year. And so we are moving with haste to integrate crypto payments across our entire suite of products. I think that will be a big business over time, and we are also solidifying Base as the number one chain for building for startups to build on-chain and large companies. We are going to continue to lower transaction fees on Base. We are going to accelerate the flywheel with retail users, and there's a really nice tie-in here where CDP, our Coinbase Developer Platform, can provide a lot of the tools to help these companies integrate with Base. And so it's been a great tie-in. On CDP, specifically, we are going to keep making sure that it's the leading platform for any company to develop applications on-chain. And I think that will allow, hopefully, thousands of companies to come integrate and Base can power a lot of that behind the scenes for them. Okay. So we talked about growing revenue. We talked about driving utility. The third prong here for 2025 is about scaling our foundations. And we have got a world-class policy team. They are laser-focused on getting some landmark crypto legislation passed. We are going to continue to support StandWithCrypto.org, hopefully get that to four million advocates by the 2026 midterms, so we are not taking our foot off the gas there. We also announced further donations to Fairshake Super PAC to support pro-crypto candidates in 2026 and beyond. So there will be lots of policy efforts continuing and not just in the US, by the way. This will be taking place in a number of countries. And then we are also going to continue to scale our back-end services as crypto continues to reach new all-time highs and transaction volumes. Every time we hit a new order of magnitude, we have to rearchitect our back-end systems, and this is what supports our own products, but it also is supporting many, many third parties now. So all the above is how we are going to expand our lead and define the future of crypto. And in closing, I just want to remind everybody. I hope everybody appreciates this. I mean, we are really entering a golden age for crypto here. The opportunity in front of us is unprecedented to update the financial system and increase economic freedom around the world. The regulatory overhang is lifting. Governments are leaning in. We are shaping the next chapter of crypto from trading to payments to consumer apps and beyond. 2025 is going to be a very good year. I will turn it over to Alesia now.
Alesia Haas: Thanks, Brian. And good afternoon, everyone. As Brian shared, the fourth quarter was a strong quarter for Coinbase Global, Inc., and we wrapped up a great year. I am proud that we executed on our three financial priorities. We diversified our revenue, we generated positive adjusted EBITDA, and we maintained operating discipline while we invested opportunistically to achieve our business goals. Let's dive into our results. All comparisons I make will be on a quarter-over-quarter basis unless I note otherwise. Starting with the macro backdrop, crypto markets rallied subsequent to the US elections, given the election of the most pro-crypto congress and president in history. Underpinning this, in the quarter, we saw average crypto market cap increase 33% and crypto asset volatility increase 27%. With this backdrop, our Q4 total trading volume was $439 billion, up 137%. Our consumer trading volume was $94 billion, up 176%, and we outperformed the US spot market, which increased 126%. As Brian shared, this was an all-time high. Consumer transaction revenue was $1.3 billion, up 179%. We saw strong growth in both simple and advanced trading volume. Our mix of consumer trading volume was very similar in Q4 as compared to Q3. During the quarter, we listed 13 new assets, including popular meme coins. Further, we invested in trading experience improvements, platform stability, and collectively these efforts, in addition to the market conditions, drove our MTU growth of nearly 24%, up to 9.7 million MTUs. Nearly half of our trading customers in the fourth quarter were either new to Coinbase Global, Inc. or resurrected from over a year ago. And we are pleased to see these market participants come into the space. Our institutional trading volume was $345 billion, up 128%, also outperforming the US spot market. Institutional transaction revenue was $141 million, up 156%. In the fourth quarter, we saw strong adoption of the Prime product suite across custody, trading, financing, and staking. Our top clients are engaged with most of these products in 2024, and our onboarding pipeline remains robust. Our Prime financing product had all-time high loan balances in the fourth quarter in connection with the strong market conditions, and we see elevated trading amongst clients who are using financing. Turning to our subscription and services revenue, which reached $641 million, up 15%. Our revenue growth was driven by higher asset prices and USDC market cap, as well as native unit inflows across staking, custody, and the USDC within our products. I want to touch on two points within subscription and services. First, our stablecoin revenue declined $21 million or 9%. We are super pleased to see USDC market cap increase and our on-platform balances grew substantially during the quarter. However, the lower interest rate environment and the impact of new USDC ecosystem participants more than offset this growth. Second, other subscription and services revenue grew $33 million or 56%. This was largely driven by Coinbase One. In early December, we announced Coinbase One exceeded 600,000 paid members, and we have continued to see strong growth since then. Switching to expenses. Total Q4 operating expenses were $1.2 billion, up 19%. Our expense growth primarily was driven by higher transaction expenses in connection with higher trading activity. Technology and development, general and administrative, and sales and marketing collectively grew by over $84 million or 10% quarter-over-quarter due to high performance marketing spend, higher USDC rewards, and some policy-related spend in the quarter as we pursued advocacy efforts within the US. Our fourth quarter adjusted EBITDA was $1.3 billion, and net income was also $1.3 billion. Net income benefited by a $476 million in pretax gains on our crypto asset investment portfolio. The vast majority of this gain was unrealized. I want to note that on an after-tax basis, this represented $357 million of gains. Lastly, our USD resources grew to $9.3 billion by the end of the year. Our strong balance sheet gives us the resources and flexibility to invest in the business, provides capacity for acquisitions, enables us to invest in more crypto assets, or opportunistically address the capital structure via share or debt repurchases. Generally, we believe building a strong balance sheet provides us maximum optionality to capitalize on whatever opportunity we find as they arise. Before we get to Outlook, I want to highlight one important change in disclosure. In January, the SEC issued staff accounting bulletin 120, which rescinded the Gensler era SAB 121. In turn, it required us to record customer crypto assets and liabilities on our consolidated balance sheet. We early adopted SAB 122, which repealed SAB 121, and it reverses that requirement. As such, we are no longer reporting safeguarded customer assets and safeguarded liabilities on our balance sheet. In its place, we have reinstated assets on platform as a key business metric, which reports the amount of crypto and USDC we are securely storing on behalf of our customers. The only material change is the location of where we disclose customer assets in our audited financial statements. No change to our operational and legal processes of securely storing customer assets, no change to our obligations or risks. As of December 31st, we had $404 billion in total assets on platform, approximately 12% of total crypto market cap. You can see that our assets on platform is included in an audited footnote within our financial statements. Okay. Finally, I'll close with a few comments on our outlook. For Q1, we've had a strong start to the year and have generated roughly $750 million in transaction revenue year to date. We expect Q1 subscription and services revenue to grow sequentially and be in the range of $685 to $765 million. We expect growth to be driven by higher stablecoin revenue, continued growth of Coinbase One subscribers, and the higher average crypto asset prices we have seen so far in the quarter. With regards to stablecoin revenue, Brian mentioned earlier our stretch goal to make USDC the number one dollar stablecoin. I think it's important to note that we hope to achieve this over the next few years. We expect Q1 technology and development and general administrative expenses to be in the range of $750 million to $800 million. On sales and marketing, we expect the range to be between $235 to $375 million. Where we fall in this range will largely depend on whether we continue to see attractive performance marketing opportunities and the product USDC balances, which drives USDC rewards. With that, Danielle, let's go to questions.
Anil Gupta: Okay. So we'll take the top three questions from the Say portal. The first one is, how did the liquidation event that took place in early February affect Coinbase Global, Inc. users? Were Coinbase Global, Inc. users mostly buyers of that, or have you lost users as a result of the violent price action that took place? Alesia?
Alesia Haas: Well, I need to laugh at this question a little bit because volatility has been inherent in crypto. The price actions we saw in February were no different than the price actions we see on an average week or an average month within our industry. The markets recovered quickly. And I think it's really important to note that our retail users are long-term hodlers. We tend to see them hold for long periods of time and opportunistically come in and out of the markets when they see market conditions that are attractive to them. So there was no meaningful impact to our business as a result of the February volatility and market dislocation we saw in the broader market.
Anil Gupta: Second question, regulatory headwinds are shifting to tailwinds. Base is skyrocketing to be the top layer two. Broad USDC adoption, international purpose business is booming, AI leader. CDP is the AWS of crypto. And the inclusion of Coinbase Global, Inc. in the S&P 500 potentially coming soon. Any other promising growth drivers to highlight? Brian?
Brian Armstrong: Thanks for the question. I promise I didn't plant that or upload it myself. But I think what the question is touching on here is that we are a multiproduct business. We have a diverse stream of revenue from different product lines that we have out there. I'm really proud of, actually, that shift that we've made to having a retail platform, an institutional platform, a developer platform. And so that bodes well for, I think, the TAM of what we can get to over time. You asked about promising growth drivers to highlight. One of the things we try to do in these earnings calls is only talk about things which are now live, and I don't like that if announcing vaporware, but I can tell you there's lots of things we're working on internally, which I'm not ready to announce today. I guess I'll just go back to a couple that I am particularly excited about, that I mentioned previously. And one is just this next act for crypto. It's no longer just an asset class. People are using it for daily utility for more and more things. Base is powering crypto utility across a whole wide range of apps. Payments are taking off with stablecoins, as I mentioned. Things like prediction markets are providing real-world utility. Lots of people who weren't previously specifically interested in crypto or trading, but they're finding it as a new source of truth out there. And then I'd say our international expansion is also really exciting right now. And lots of M&A opportunities. Some of it we will just do organically as well. We have this playbook now where we've been able to get contribution margin positive in all the countries we've launched and actually at this point. And so that just tells me we should be doing more of them. And we are going to go build out this world-class trusted trading and financial services infrastructure in as many countries as we can.
Anil Gupta: Great. Final question. What are some initiatives that are now possible to explore under the new regulatory regime?
Brian Armstrong: Right. Yeah. It's really been a sea change, and it's been great. I feel like we have access to all the relevant decision-makers and folks in government now. They don't do what we want, but at least we can get meetings and share our point of view. They can take input from all the relevant parties to come up with clear rules. So one that I'm really excited about is Perpetual Futures. Most crypto trading actually happens with directional futures outside the US, and the US was really far behind on this. We made this point to folks many times in the last administration. We couldn't actually get approval to do it in the US. Hopeful there's a path to do that now in the US, which would bring a lot of the trading volume back onshore in this new regulatory regime. Also pretty interested in tokenized securities and equities, the traditional securities and equities out there. I think that it offers a lot of promise to consumers around being able to trade 24/7, internationally who maybe don't have easy access to this, being able to trade, trading fractions of a share, the clearing and settlement could happen in real-time, a number of kind of fee takers in the middle could be it could be the whole thing could be simplified and optimized if it was happening on-chain just because crypto is a way to update the financial system. So that's a pretty promising area that could be exciting over time for the whole industry. Prediction markets I mentioned, there was sort of a loss of trust in our institutions around the media and what's happening in the world. And so people are trying to figure out what's true, and I think prediction markets are a pretty interesting way to get truth about what's actually happening in the world, not just around elections, but all kinds of things. And then we are seeing more and more partnership opportunities. Traditional financial firms, tech players are all reaching out in 2025. With this new regulatory environment. M&A is legal again in the United States. Sort of jokingly, I'm saying that. But you know, there's an incredible pipeline of companies out there that could make sense to purchase as well. So yeah, a lot of good things on the horizon.
Anil Gupta: Thank you. So with that, Sarah, let's take our first question from the line, please.
Sarah: Thank you. Your first question comes from Owen Lau with Oppenheimer. Your line is open.
Owen Lau: Good evening, and thank you for taking my questions. And congratulations on a quick quarter. When I look at your December and January market shares for US spot crypto, it looks like you started to take shares away from your competitors. There have been many lower-cost products out there since 2021, like FTX and now spot ETF. Could you please talk about how we can still gain shares, not just one month or two months, but through the cycle and what makes Coinbase Global, Inc. different from other platforms? Thanks.
Brian Armstrong: Yeah. Well, thanks for noticing that. We were really proud to see that we did hit an all-time high for both US spot and global derivatives market share in Q4. And, you know, look, crypto is on the rise. There are going to be lots of companies that are integrating crypto. We think that's a good thing. We think that to get more and more of global GDP running on crypto rails, we are going to have to have every bank, every fintech, every payment platform around the world begin to integrate here. And so Coinbase Global, Inc., we want to do that on our platform, but we also want to power this across all the other countries and companies out there. And so we are very focused on playing a role in that with our developer platform. So, you know, our share did grow quite a lot. I think that just speaks to the trust that people have in Coinbase Global, Inc. as a platform. We don't see it as a zero-sum game. We are trying to grow the size of the pie 100x for everyone.
Alesia Haas: Owen, I might just add on. We've seen a very strong start to Q1. And we believe that the underlying efforts that we are making to add assets, to continue to improve the user experience, our platform stability, and effective marketing will continue to position us well to gain share over the long term. We've always had experiences where a certain week, a certain month that our share falls off due to different trading pairs being popular in the market that we may not have either on our platform or the right pricing for. But what we see is over the long term, we can gain share and retain and grow users on our platform.
Sarah: The next question comes from Devin Ryan of Citizens JMP. Your line is open.
Devin Ryan: Thanks so much. Hi, Brian. Hi, Alesia. I've a question on international derivatives. Obviously, just gaining kind of massive traction there and another great quarter of growth. It seems like the fees there are quite a bit lower, obviously. And so I also appreciate that might make sense as you're taking share at this type of rate. But I'm curious as you think about take rates in derivatives kind of longer term, should we expect that they would kind of hold the line with where they are now, or could there be an opportunity to actually increase the take rates as you get to kind of the more mature share? Just curious kind of how to think about this opportunity longer term as you continue to grow it. Thanks.
Alesia Haas: Thanks, Devin. So right now, we are focused on building liquidity and building trading volume. And we are providing incentives to various market participants to focus on building that depth of liquidity in each of the order books as we put them on the platform. So, yes, I do believe that over time our fees will evolve and become more mature as we gain the scale and market position that we seek to have. And that right now, we are not focused on monetizing at the top of the range. That said, we are going to monetize this competitively with the market, and this is a lower-priced product than spot trading. And so you can see us be in a competitive market position here, but not at the current level we are today.
Sarah: The next question comes from Benjamin Budish with Barclays Capital. Your line is open.
Benjamin Budish: Hi. Good evening, and thanks for taking the question. I was wondering if you could unpack a little bit of some of the activity, the trends you're seeing in some of the either kind of new to Coinbase Global, Inc. or resurrected customers. Can you talk about, you know, what is the level of activity? Are they coming over with large accounts? Are they engaging in a lot of trading, or is a lot of the trading coming from your sort of back book of existing customers? So what does that cohort look like? And maybe similarly with Coinbase One, you know, what is the activity level of the new traders? How would you describe that group? Thank you.
Alesia Haas: Alright. I will start this, and Brian, please feel free to add on. So we don't break out details on our customer cohorts in general, but what I would say is that new users tend to come on for either new coins that we list or they come on as first-time users of crypto where they're typically buying Bitcoin or Ethereum or large market cap assets. Those tend to be two waves of new user adoption. New product or new into crypto. But we are actually seeing those just the benefits of our effective marketing program, and we are really proud to say over time, our marketing has always been effective at a very good return on customer acquisition. It's a one-year return on investment. And so that cost of customer acquisition, we get paid back within a year. And so it's the trading activity that really typically drives that return. Resurrected users, these were users that we've always had on the platform that have already said, oh, I'm interested in crypto, but I'm not a daily active user. I'm just someone who was buying and hodling, and they tend to reengage whenever you see higher volatility, higher price, and crypto in the news. And those tend to be similar trends we've seen over time with our users on our platform. They're more engaged in these kind of more peaky market conditions. With regards to Coinbase One, we opened this product up internationally, and so a lot of our growth has come from making Coinbase One more attractive around the world, more available around the world with new benefits. These are users who are actively trading typically every single month because they benefit from no trading fees by having this monthly payment that they make to us. So these tend to be more active users, and we tend to see Coinbase One users more deeply engaged with all products on our platform.
Brian Armstrong: Yeah. I think just to add to that, you know, people who are holding crypto and they're not checking it that often maybe and then the price ticks up, they'll resurrect. They'll come back to check on their balance. But every time they do that, there's an opportunity to put other products in front of them. Maybe they want to get a loan on their Bitcoin. Maybe they want to have a Coinbase card. They want to earn staking rewards. And so maybe do payments to peer-to-peer payments or anything like that. So there's more and more products we can put in front of them every time they come back. And, you know, so it's all of the above, I think, is really the short answer to your question. Those users coming back are doing everything.
Sarah: The next question comes from Ken Worthington of JPMorgan. Your line is open.
Ken Worthington: Hi. Good afternoon. Thanks for taking the question. We have a more friendly administration, which you noted. The White House repealed SAB 121 right out of the gate. As we look forward, what are the more or most important pieces that congress and regulators have to get right in order for the construct in order to get a to actually, developers and markets that we're hoping to see?
Brian Armstrong: I'll share a few thoughts on that, and then maybe, Paul, if you want to add anything. So the first part of it is really market structure legislation being passed. And, you know, another word people use for this is token classification, which is essentially answering this age-old question of which of these are commodities? Which are securities? Some of them are payments, like or currency, stablecoins, and which of them are something else entirely, like, not regulated like artwork or collectibles. And so, if we can get that token classification clarified in new legislation, you know, if congress can really do that, I think it would open up huge pools of capital to flow into crypto. You know, all kinds of good things happen. Startups can start to build. So that's the first piece is market structure or token classification. The second piece is around stablecoins. And we really want to see a clear framework emerge to have dollar-backed stablecoins be issued in the United States with clear legislation behind it. We want to make sure that there's a state pathway for those. It doesn't have to just be done federally. We want to make sure that you don't have to be a bank, although you could, to issue a stablecoin. I think if you're not doing fractional reserve, you shouldn't need a banking license. You could be, for instance, a trust company. You know, you need to pass audits that show you have 100% reserves, things like that. So those would be key pillars of a stablecoin bill. You know, beyond that, I think it would also be great to see a strategic Bitcoin reserve in the United States. We need to make sure that there's fair access to banking services, things like Operation Chokepoint don't happen again. And just I'd say broadly, there's almost like a bill of rights for the American citizens that they have the right to self-custody and to own crypto and to use it. These are foundational principles that we're hoping would come out of any legislation. Paul, anything I missed?
Paul Grewal: I would just underscore, Brian, the need for a functional bill of rights. Unfortunately, I think the executive order that the president issued provides really a nice foundation for that. You saw things like statements that commit to protecting lawful blockchain activities and promoting dollar-backed stablecoins. Critically, ensuring fair access to banking services. So I think the bones are in place to support that. And we're also quite encouraged by the early work of the crypto task force, the SEC. Under which or by which Commissioner Peirce, I think, has made it very clear she intends to move and move fast on providing real guidance to the market and especially to builders on what they can expect and the process they can expect when they come in and meet with the SEC in the months and years ahead.
Sarah: The next question is from Pete Christiansen with Citi. Your line is open.
Pete Christiansen: Good evening. Thanks for the question. Congrats on the outstanding quarter and results. Brian, I'm curious. I want to take a little bit more into the consumer acquisition strategy for Coinbase Global, Inc. I'd love to hear your thoughts on how do crypto natives build up the value proposition for consumers to trade on crypto native solutions? How does that value proposition or that differentiation evolve versus all-in-one TradFi kind of solutions that are out there? Thank you.
Brian Armstrong: Yeah. Well, you know, a lot of people come to the platform initially. They're curious about crypto. Coinbase Global, Inc. has the most trusted brand. We've been around the longest. We're dedicated to crypto. And so that's the entry point for a lot of folks. We also do a lot of traditional marketing. We do a lot of referral marketing and, like, growth programs within the company, which are very effective in positive ROI. You know, we try to target that one-year payback period that Alesia mentioned. And so as they come in and they that's sort of often people's first foray into crypto. They start to learn a little bit more about it, and then they start adding on other products. Right? This is where they might do payments or staking or borrowing and lending or Coinbase card. And, eventually, you know, we see businesses onboarding as well, and they're using it for their own purposes. You know, treasury management, hedge against inflation, maybe starting to pay vendors overseas. And so you can see there's often the thing that gets them in the front door to start with, but then they start to realize there's a broader potential here, and they start to think about Coinbase Global, Inc. as a primary financial account where they can participate in this new economy. Today, only about half of a percent of global GDP is running on crypto rails. We think that that could expand dramatically by the end of the decade. And you know, that starts where things start to get really exciting as this is a foundational account you might have for your participation in the global economy. So I'm not sure if I answered your question directly. We could talk about there's crypto native competitors. There's traditional TradFi competitors, some that are specific to each category out there, but you know, if you have any further follow-ups, just let me know.
Emilie Choi: I think just to double down on that, the way that we look at the competitive set is we are a crypto native competitor that plays deeply in and has leaned into the values of leaning into regulatory, leaning into security, leaning into ease of use. I think one of the things that Brian realized very early on was that being crypto native was akin to being digital native back in the day. If you look at something like traditional retailers who added digital as a feature, it was never nearly as impactful as building from the ground up digital native the way some like, a company like Amazon did. I think that that benefits us because even if you are, as Brian described, somebody who's curious about crypto, you come in. Perhaps you're curious about Bitcoin. You then you come into Coinbase Global, Inc. You have a good experience. Perhaps you try other assets, perhaps you try staking and are exposed to other native features. And having that the rails and building blocks for that, including things like Base, and wallet and USDC, I think provides us with a much stronger, durable competitive advantage over time.
Sarah: The next question is from Patrick Moley of Piper Sandler. Your line is open.
Patrick Moley: Yes. Good evening. Thanks for taking the question. So, Brian, a few weeks ago, you posted on X and said you felt like Coinbase Global, Inc. needed to rethink its listing process given the sheer volume of tokens that are being created. On a daily basis a lot of which I would assume are kind of these meme tokens where you're seeing a lot of trading being done. So could you maybe just expand on those comments and talk about how you see your listed token offering evolving from here? Thanks.
Brian Armstrong: Yeah. Thanks for reading that and bringing it up. I do think it's an important transition that the industry is going through where we're seeing more and more tokens being created. And I think that's a really good thing. It means people are using crypto for lots of different use cases. And it's actually, you know, by some estimates, we're at about a million tokens a week here. And, you know, many of those are lower quality or meme coins. But it speaks to just the volume of what's happening here. It's a little bit like, you know, the early days of the Internet. You could have you could list all the major websites on a single directory, and, eventually, you needed Google Search to sort through because the Internet just got so big, and that's a little bit what we're seeing with crypto. So this means for Coinbase Global, Inc. is that we need to deeply integrate decentralized exchanges into our product where I think the customer won't really know or need to care about whether it's trading on a centralized exchange or a decentralized exchange. They just want to look up an asset and maybe participate in that. But we also need to balance giving people access to what they want with appropriate disclosures and consumer protection so that they know that they're trading the appropriate asset. It's not, you know, something pretending to be that asset or you know, it's a little bit like again, searching through there might be a hundred thousand results in Google, but you kind of want to only look at the first page. Or if you search for some product on Amazon, there might be thousands of them, but you want to buy the one with the reviews. I think there's a variety of ways that we can balance that consumer protection with giving customers access to the broad range of assets out there.
Sarah: The next question comes from John Todaro with Needham. Your line is open.
John Todaro: Thanks for taking my question, and congrats on the really strong quarter. Brian, I have a broader question about the overall vision for Coinbase Global, Inc. to maybe become something a lot bigger than a crypto brokerage. The two areas I see are stablecoins and then the tokenized real-world assets, which you've discussed. You know, you could see a world where a lot of that transfer activity all ultimately happens on Base. So one, just do you agree with that vision? And then two, is there anything more specifically you guys can do to push both of those segments?
Brian Armstrong: Yeah. Well, that is definitely the plan. I think, you know, like I said, people are coming to crypto think of it as an asset class they could trade. And over the last ten years, it was the best performing asset class out there. But it's already become much, much more than that. And people who don't use crypto every day, they sometimes don't fully wrap their heads around that. But you know, if you look at that stablecoin volume at $30 trillion of volume last year, it grew 3x year-over-year. If that continues, it's going to be a really meaningful portion of global GDP. And so that's a huge one that you mentioned. You know, and tokenizing real-world assets or traditional securities. I mean, eventually, you know, real estate, the debt markets, like, private credit, everything should come on-chain. It's really just a more efficient way of transferring value, and it can do real-time settlement and eliminate various risks that are out there in the ecosystem. So, I mean, there's lots that we can do on this front. I mean, in the broadest sense, the thing that we're doing is we're trying to make all these products trusted and easy to use. I think that's where we differentiate the most on our brand. People we see in surveys that they do trust the Coinbase Global, Inc. brand the most. It comes from our track record of compliance, security, design, customer support, a variety of things go into that trust, and then we're trying to make it easy to use for the average person. So they may not understand quite how to access a decentralized exchange through DeFi and worry about private keys and addresses and bridging and all these complex topics. But if we make it simple, we think there's an order of magnitude more people who will come to use our products. You know, on Stablecoin specifically, for instance, we can think we can really fuel a lot of that growth by just driving more partnerships with global and local players like Stripe, Yellowcard, to do more global adoption. You know, we've been adding a number of additional stablecoin trading pairs on our platform. You know, we've been offering rewards to our customers when they hold USDC. So almost like having a checking account in a not even a savings account. It'd be like a I guess, like a you know, something that pays much more, like owning short-term treasuries or something. But you can have that in just one account. And these are things we can do to help drive adoption of these various things. So I mean, longer term, it's like we want to be the primary financial account for many people in the global economy. And so you could compare that to a brokerage. You can compare it to banking. You can compare it to a payments company. I think it has aspects of all of those things in the limit here. That's the aspiration. And so that's a pretty exciting opportunity, and one can think about what the value of that might be over time.
Sarah: The next question comes from Dan Dolev of Mizuho. Your line is open.
Dan Dolev: Hey, guys. Great results out there. I just wanted to ask about I think you mentioned kind of global contracts earlier. So I think you know, your competitor was talking about sort of this is a big market of political, you know, political betting or any betting. Is there any view here to use Coinbase Global, Inc. as a platform globally to do something similar? Thank you.
Brian Armstrong: Okay. I think you're referring to prediction markets. Yeah. So we have nothing to announce today on that front, but I do think prediction markets are very exciting. I know I touched on it a little bit in my opening remarks, but I think the really, the United States but the world kind of got a wake-up call on these prediction markets in this recent election. I think it was some of these were, like, in the top few downloaded apps in the app stores during the election. And they called the election correctly, far in advance of every other traditional source that was just flat wrong. And so this is answering a big question. Crypto is like the answer to this major question people have in society today, is how do I know what's true? Everybody's worried about misinformation. They're worried about bias. And the beautiful thing about these prediction markets is that people have real skin in the game. And so I actually think it's a better source of truth than what we're seeing in many traditional media publications. And if you look at the surveys, you know, around people's trust in institutions, it's like the traditional media, etcetera, it's at an all-time low. So it's just one more example where I think crypto can provide an interesting solution. We're interested in looking at it more over time.
Emilie Choi: One of the things about Coinbase Global, Inc. is that we're not necessarily always first to market with the cutting-edge products. We're actually comfortable with that position. We've watched, for example, international markets that are more deregulated launch products that then we can adopt here, especially with the good favorable regulatory climate here. Or, you know, there's just a swath of different products that come out, and we can watch as they resonate or don't resonate with users. That's one of the reasons that we've invested so much in Coinbase Ventures. It allows us to get ahead, to have multiple plays, to plant many seeds. And then as those things potentially sprout, we can take advantage of them either by buying, building, or acquiring or partnering over time.
Sarah: The next question comes from Bo Pei of U.S. Tiger Securities. Your line is open.
Bo Pei: My management, thanks for taking my questions and congrats on the strong result. Two questions, if I may. So first is about retail trading fees. So historically, the retail trading fee rate has tended to decline during previous surging trading volume. However, this quarter, despite trading volume nearly tripling, the retail fee rate actually increased slightly sequentially. So could you just provide more insight into this dynamic? Was this primarily driven by rapid increasing derivatives revenue changes in stablecoin trading fees, or other factors? That's my first question.
Alesia Haas: So this quarter, we just saw strong growth of both simple and advanced trading, and so we didn't see any disproportionate contribution from either one of them, which is why the fee rate was largely similar quarter over quarter. So we just saw growth across the board.
Bo Pei: Thank you. And second question is about competition. So, yes, yesterday, an online trading platform reported, I think, 400% year-over-year growth in crypto trading volume. How do you view the competitive landscape in this environment, specifically do you plan to compete with peers that offer a broader range of trading products beyond crypto?
Brian Armstrong: Yeah. So this is Brian. I can share a little bit about how we think of it. So we really want everyone to come into crypto. I know and I keep saying this and maybe people don't fully believe me, but it's really true. We're trying to get the global financial system updated and have more global GDP running on crypto rails. We think that that's a more efficient, fair, and free world with accelerated progress, and it creates economic freedom. And we're going to have to have every bank, every payment company, every brokerage, etcetera, integrate crypto into their platforms. Now Coinbase Global, Inc. can be the primary financial account. We can be the most trusted product out there for many people, we can also power a lot of this for other companies. And so we're genuinely not that worried about the competitive landscape. I mean, we have to make sure we're meeting our customers' needs, but the way we do that is by going and talking to our customers. We don't necessarily look at what other people are doing. We want more and more people to participate here. We want to power those solutions for them. And it's just whenever you see new companies coming into crypto, you should think that is great for Coinbase Global, Inc. It's TAM expansion.
Emilie Choi: It goes back to my thing about that we think being crypto native and having been here for this long is a huge competitive advantage. We actually weirdly welcome everybody coming into this space. We think it's good for the whole ecosystem when there are free markets. When TradFi competitors and others further validate the industry for their customers, and I think one of the things Brian had said, I remember at the IPO roadshow is where we zig, where they zag. We've always been about crypto first, and we think it benefits customers and it benefits us over the longer term.
Brian Armstrong: Yeah. And I think you shared a question about just other trading products, etcetera, we sort of mentioned earlier, the study of tokenizing traditional securities or other real-world assets. Like, all of these categories, I think, are eventually going to get tokenized and put on-chain. And so we're focused on the on-chain economy here and the crypto asset aspect of it, but that's going to grow to include more and more of the total financial system and all asset classes.
Anil Gupta: Sarah, we'll take one more question.
Sarah: Thank you. Our final question will come from Alexander Markgraff of KBCM. Your line is open.
Alexander Markgraff: Thanks. I'll try to squeeze in two here if I can. Maybe just one model, one first as it relates to the sales and marketing outlook. Under logic in terms of the wider than usual range. Just curious, is that wider than usual range? Is that a new approach to forecasting that line or how you're communicating that to us, or is it more a function of market conditions as you're going through the planning process?
Alesia Haas: This outlook is a function of the current market condition. We saw wider opportunities to deploy marketing dollars post-election. We've seen great variance week to week as we've gone through the last eight weeks, and we wanted to recognize that the next six weeks of the quarter could be quite volatile, and so we wanted to capture an outlook that didn't give us any restraints on the business if we saw great opportunities to put money to work to acquire new customers, but also communicated that it could be wide. So just a function of what we see today.
Alexander Markgraff: Okay. Understood. Thank you. And then, Brian, maybe one on CDP, when you talk about company building on-chain. Maybe just could you paint a picture of sort of non-crypto native participation today and how you would expect that to evolve in a backdrop where there is clearer regulation and legislation in the near term. Thank you.
Brian Armstrong: Yeah. Well, a lot of the early adopters of CDP are startups, but if you're talking about and they're doing interesting things with AI and, like, payout solutions and a lot of things sort of more native on-chain. But if you're asking about non-crypto native adoption. And by the way, you know, Coinbase Prime has a great API solution. A lot of parties are using that. So there's various, actually, ways we can serve them. It's not direct not only CDP. Various institutional clients can automate pieces of their Coinbase Prime account with an API as well. But I think what it'll look like over time for the non-crypto natives, you know, the Fortune 500s of the world, etcetera, you know, first, they'll come in and they'll say, okay. For just good treasury management. Inflation risk mitigation. We should hold a percentage of our balance sheet in Bitcoin. That's just a way that's the new gold standard. Right? It's just become, like, a best practice, and we can help them with that. I think then they'll start to think about, okay, how much am I paying in B2B payment fees? Paying various vendors, you know? And where might there be, like, financing opportunities? So, you know, cross-border payments, these kind of things are areas where crypto can really provide a better solution. And so I think they'll integrate from, like, a treasury management payments, like, those sort of things from the Fortune 500. Now some of them will actually go even further than that, I think, and they'll start to say, okay. How do we issue our rewards points on-chain? How do we allow members of our community that are, like, some new product they're launching to participate in a sense of ownership around it or governance around it? Right? Others might like, if you were building, you know, Reddit or Uber or Airbnb today, you'd probably you'd want to early users on that platform or Wikipedia or anybody contributing to a community or a product you'd want to have the early users of that platform earn rewards or have governance rights over it just like the employees working on it. Right? And so you could imagine new products being launched in those categories. So yeah. I think eventually it'll integrate into many different companies in different ways, but crypto is many different things, and we can provide those services through our CDP, Coinbase Prime, etcetera.
Anil Gupta: Great. That's it for today. Thank you all for joining us, and we look forward to talking to you again next quarter.
Sarah: This concludes today's call. You may now disconnect.